Operator: Good afternoon and welcome to the Sandy Spring Bancorp Earnings Conference Call and Webcast for the Second Quarter of 2021. All participants will be in listen-only mode. [Operator Instructions].After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Daniel Schrider, President and CEO. Please go ahead.
Daniel Schrider: Thank you and good afternoon, everyone. We appreciate you joining us today for our conference call to discuss Sandy Spring Bancorp’s performance for the second quarter of 2021. And today, we will also bring you up-to-date on our response to regarding the impact from COVID-19 pandemic. This is Dan Schrider speaking and I’m joined here today by my colleagues Phil Mantua, Chief Financial Officer; and Aaron Kaslow, General Counsel for Sandy Spring Bancorp. Today’s call is open to all investors, analysts and the media. There’s a live webcast of today’s call and a replay will be available on our website later today. Before we get started covering highlights from the quarter and taking your questions, Aaron will give the customary Safe Harbor statement.
Aaron Kaslow: Thank you, Dan. Good afternoon, everyone. Sandy Spring Bancorp will make Forward-Looking Statements in this webcast that are subject to risks and uncertainties. These forward-looking statements include statements of goals, intentions, earnings and other expectations, estimates of risks and future costs and benefits, assessments of expected credit losses, assessments of market risks and statements of the ability to achieve financial and other goals. These forward-looking statements are subject to significant uncertainties because they are based upon or affected by management’s estimates and projections of future interest rates, market behavior, other economic conditions, future laws and regulations and a variety of other matters, including the impact of the COVID-19 pandemic, which by their very nature are subject to significant uncertainties. Because of these uncertainties Sandy Spring Bancorp’s actual future results may differ materially from those indicated. In addition, the company’s past results of operations do not necessarily indicate its future results.
Daniel Schrider: Thanks, Aaron and thank you all again for joining us today to discuss our second quarter financials. We are pleased to report another strong quarter and we are now one year beyond our acquisition of Revere Bank and the benefits that strategic partnership continue to contribute to our overall performance. And the same goes for our acquisition of Rembert Pendleton Jackson, or RPJ. Quarter after quarter our results validated adding RPJ to the Sandy Spring bank family was the right move and across our entire wealth group including RPJ West Financial Services and Sandy Spring Trust we've seen impressive year-over-year growth. Overall our company is in a great position. And let's start by breaking down some of the highlights from the press release and then Phil and I will talk you through the supplemental information we also issued today. Today, we reported net income of $57.3 million or $1.19 per diluted share for the quarter ended June 30, 2021. This quarter's results compares to net loss of $14.3 million or $0.31 per diluted share for the second quarter of 2020 and net income of $75.5 million or $1.58 per diluted share for the first quarter of 2021. Core earnings were $55.1 million or $1.16 per diluted share compared to $51.9 million or $1.10 per diluted share for the quarter ended June 30 of last year, and $56.9 million or $1.20 per diluted share for the quarter ended March 31 of 2021. The provision for credit losses was a credit of $4.2 million compared to a credit of $34.7 million in the linked first quarter. The current and prior quarters provision credits were primarily the result of an improved economic outlook, including a decline in the forecasted unemployment rate. Phil will talk to you through the provision credit in more detail when we review the supplemental materials. Shifting to the balance sheet, total assets declined 3% to $12.9 billion compared to $13.3 billion at June 30, 2020. This decline was primarily the result of the net reduction of $179.2 million in loans originated under the Paycheck Protection Program and the $251.5 million decline in the residential mortgage loan portfolio given the robust refinance activity. Excluding PPP, total loan growth compared to the linked quarter was 1% with 2% organic growth within the commercial book. Year-over-year we saw non PPP commercial loan growth of 4% and commercial real estate loan growth was 6%. We continue to operate in a season of lower commercial line utilization, higher runoff and significant borrower liquidity. At the same time, we have momentum as we look into the third and fourth quarter. For instance, quarter-over-quarter gross commercial production increased $300 million, or 61%, and funded production increased $214 million or 75%. And our pipeline looks equally as strong heading into the third quarter. It's important to note that the higher runoff we experienced in the first and into the second quarter was driven primarily by success achieved by our clients, as well as traditional refinancing into life company markets, but not the result of the loss of client relationships. On the deposit side of things, deposits increased 2% during the linked quarter driven by 6% growth in non interest bearing deposits. Deposit growth was 8% during the past 12 months and non interest bearing deposits grew 16% and interest bearing deposits grew by 3%. This growth was primarily driven by PPP and to a lesser extent growth in core deposit relationships. PPP related deposit retention continues to be strong and we estimate that approximately $990 million or 62% of the combined round one and round two PPP deposits are still on the balance sheet with 81% of these deposits still being retained in customer checking accounts. Non interest income increased 15% or $3.3 million compared to the prior year quarter as wealth management incomes grew 20% and service charges on deposit accounts increased 62%. Bank card fees grew 42% compared to the prior year given the increased transaction volume. Other noninterest income also grew significantly as a result of the full payoff of a purchase credit deteriorated loan as well as contractual vendor incentives. Wealth management income increased $3.3 million year-over-year as a result of the first quarter of 2020 acquisition of RPJ and $818 million growth in assets under management across our three wealth franchises. We have exceptional professionals and industry experts in RPJ West Financial Services and Sandy Spring Trust and they continue to attract new clients, deepen existing relationships and deliver sophisticated service in this highly competitive market. Well, mortgage banking income in the first two quarters increased $4.5 million compared to the same period last year, mortgage banking income decreased from $10.2 million to $5.8 million compared to the linked quarter. The overall level of mortgage banking income in the second quarter should hold up as we approach the second half of this year. We are extremely pleased with our margin this quarter. The interest margin was 3.63% for the second quarter of 2021 compared to 3.47% for the same quarter of 2020 and 3.56% for the first quarter of 2021. Excluding the impact of the amortization of fair value marks derived from acquisitions, the current quarter’s net interest margin would have been 3.60% compared to 3.19% for the second quarter of 2020 and 3.46% for the first quarter of 2021. The strength of our margin continues to be driven by our ability to effectively manage our cost of funds as our core margin adjusted for PPP and fair value impacts expanded on a linked quarter basis from 3.42% to 3.49%. This was supported by our payoff of all remaining FHLB advances during the quarter as well. Noninterest expense decreased $22.5 million or 26% compared to the prior year quarter. The prior year's quarter included $22.5 million in M&A expense as well as $5.9 million in prepayment penalties from the liquidation of acquired FHLB borrowings. These reductions from the prior year more than offset this quarter's $4.7 million increase in salary and benefit expenses, which was driven by staffing increases and annual merit awards that occurred this quarter. The non-GAAP efficiency ratio was $45.36 for the current quarter compared to $43.85 for the second quarter of 2020 and $42.65 for the first quarter of 2021. This modest increase in the efficiency ratio from the second quarter the prior year was a result of the 11% growth in non-GAAP expense outpacing the 8% growth in non-GAAP revenue. Lower levels of gain on mortgage sales coupled with strategic initiatives based increases in personnel costs and technology related consulting fees drove the linked quarter increase in the efficiency ratio. Looking ahead, we continue to manage this expense to revenue metric to a targeted range of 48% to 50% as PPP revenues eventually abate and we continue to make strategic investments in people and technology. I am going to provide you a little more color on what's playing into these expenses. We're making strategic staffing and technology investments to build a platform for future growth, facilitate and improve client experience and help deepen client relationships, specifically rebuilding an omni-channel digital platform with backbase and implementing an enterprise wide integration layer with a company called MuleSoft which enables the design and build of APIs to support the backbase project. We're also creating a holistic data infrastructure. And all of this is being done with Salesforce.com serving as our main hub for everything we do. Overall this work, we will achieve a more seamless integration with new technologies and we'll have the flexibility to move to a new core system should we decide to make that type of move. At this stage, we are ramping up on the staffing and consulting front to support this work and we'll continue to update you in the future on our progress. Shifting to credit quality, nonperforming loans decreased from 94 basis points in the linked quarter to 93 basis points an increase from 77 basis points in the second quarter of the prior year. Nonperforming loans totaled $94.3 million compared to $98.7 million for the first quarter of the year. New loans placed on nonaccrual during the current quarter or a $1.5 million compared to $27.3 million for the prior year quarter and $421,000 for the first quarter of 2021. Loans and nonaccrual status at quarter end included a few large borrowings within the hospitality sector with an aggregate balance of just under $41 million. These large collateral dependent loans had individual reserves of $5.7 million at quarter end. And we record a net charge offs of $2.2 million for the second quarter of 2021 compared to net recoveries of $367,000 for the second quarter of 2020 and net charge offs of $300,000 for the first quarter of 2021. The increase was primarily a result of the charge off of an acquired pre-pandemic problem credit. The allowance for credit losses was $124 million or 1.23% of outstanding loans and 131% of nonperforming loans, compared to $130.4 million, or 1.25% of outstanding loans and 132% of nonperforming loans at the linked quarter. Excluding PPP the allowance for credit losses as a percentage of total loans outstanding decreased to 1.34% compared to 1.43% at the linked quarter. All in all credit quality has remained very solid and the team has done a terrific job managing through the last several quarters. As a result of the accumulated earnings over the preceding 12 months tangible common equity increased to $1.2 billion or 9.28% of tangible assets at June 30, 2021 compared to $983.4 million or 7.63% at June 30, 2020. Excluding the impact of the PPP program from tangible assets at June 30 the tangible common equity ratio would be 9.98%. Given the strength of our earnings and capital position, we are likely to be active under our share repurchase program in the coming months and we also continue to build relationships with both banks and non-banks as part of our M&A strategy. At June 30, the company had total risk based capital ratio of 15.8%, a common equity tier one risk based capital ratio of 12.5%, a tier one risk based capital ratio of 12.5% and a tier one leverage ratio of 9.5%. And we will now turn to the supplemental information we also issued this morning. On slide 2, you can see that loans with payment accommodations as of June 30 totaled $216 million, resulting in 2% of our loan portfolio receiving accommodations compared to 3% in the linked quarter. As we noted in the press release, 93% of the loans that had been granted modifications or deferrals due to pandemic related financial stress have returned to their original payment plans. Moving to slide 3, we have detailed specific industry information, which we've updated and shared the past five quarters, outstanding balances for each segment, and the loans and payment accommodations are as of June 30. On slides 4 and 5 we've broken out where we stand on forgiveness for rounds one and two of the program. As of July 9 86% of round one loans have applied for forgiveness and 99.6% of all forgiveness applications submitted to the SBA have received full forgiveness. On slide 5, you can see we're in the early stages of around to forgiveness and we expect those efforts to continue throughout this calendar year. Now I'm going to take a break and turn it over to Phil and can talk you through CECL and our capital position.
Philip Mantua: Thanks, Dan. Good afternoon, everyone. I'm going to pick up on slide number 6 where we have our waterfall representations of the movement in our allowance for the second quarter of 2021 which is broken down into the components that reflect the key drivers of the change during quarter. The change over the course of the current quarter was primarily driven by the reduction in the projected near term level of the unemployment rate which is a key economic factor in our CECL methodology. This element of reserve release was offset this quarter by an increase due to adjustments to certain qualitative factors and also an increase of $3.2 million in specific reserves. On slide 7 is a comparison of our current and more recent economic forecast variables. Our CECL methodology continues to use the Moody's baseline forecast that for the second quarter was the version that was released by Moody's on June 21. This baseline forecast integrates the effect of COVID-19 and portrays an unemployment rate for our local market that has essentially already peaked and ultimately recovers to a level of 3.12% in the second quarter of 2023 which is projected unemployment level that would continue to improve but at a slower pace than in previous quarters. Additionally, the projected levels of year-over-year growth and business bankruptcies and the changes in the home price index, as presented contribute to the provision credit for the quarter. Our key macro economic variables are further outlined on slide 8. In determining our reasonable and supportable forecast period, we continue to use a two year time horizon to reflect less uncertainty in the long term outlook at this time. Similar to the approach taken in previous quarters, we continue to not take into consideration any potential mitigating factors based on what could be perceived as the positive outcome or impact of government programs such as PPP, etc. We feel very comfortable that this continues to be the right conservative stance. Inversely, we have chosen to continue to include an additional qualitative factor related to concentration risks that we believe could exist in certain higher risk industry segments of our portfolio. Slide 9 provides some additional granularity related to our reserve from a portfolio view where you can see that all of our major categories of commercial loans with the exception of A, B and C, reflect the continuing trend of reserve release. We should note that 1.26% of reserve reflected here for commercial business loans includes PPP loans in the balance, although there is no reserve required on those loans. As illustrated in the footnote at the bottom of the slide when adjusting the balance to exclude PPP loans outstanding, the reserve on our commercial business segment would be 2.26% and our total reserve would be 1.34% of our total loans. Finally, on slide 10, is a trend of our pertinent capital ratios with some brief explanations regarding the treatment of certain items and their impact on the resulted ratios. Including those comments as an adjusted tangible equity to tangible assets to reflect the impact of PPP loans on the current measure. We feel confident about our capital position as all of our metrics continue to improve as a result of the strength of our earnings this quarter. We've also recently updated our capital stress test. We have constructed our baseline, severe forecast scenarios, utilizing the same Moody's baseline forecast incorporate in our CECL calculations, and a COVID based S4 economy in a severe case, review our overall capital position is strong, which allows us to consider the various capital deployment strategies, some of which Dan mentioned in some of his earlier comments. Dan back to you. 
Daniel Schrider: Thank you, Phil. Beyond our financials, I just have a few other updates to share with you today. Last quarter, I reported that we were beginning to welcome more employees and clients back to our branches and offices and those efforts are well underway. Nearly two months ago, our branch is fully open to our clients and no appointment is needed to access on more than 60 branch locations. I should note that our clients came to appreciate our enhanced drive through capabilities during the pandemic. So those expanded options will continue to be available at all of our drive thru locations. Non-branch personnel is also back in the office at least 50% of the time and we will expand in person operations after the Labor Day weekend. However, we will continue to offer our employees increased flexibility and remote work options. Sandy Springs also continues to earn local and national recognitions. For the third year in a row Ford named Sandy Spring bank, one of America's best in state banks and the number one bank in Maryland. The Washington Post also named us Top Workplace for the third consecutive year. These recognitions and our strong financial results are only made possible by our remarkable employees, the majority of whom are shareholders as well. So on behalf of the executive leadership team, thank you to all of our people for your tremendous contributions to the success of our company and our culture and we look forward to continuing to come together and finishing 2021 strong. This concludes our general comments today and we will now move to your questions. So operator will take the question. If you can please identify your name and company affiliation as you come on the line that would be great.
Operator: We will now begin the question and answer session. [Operator Instructions] And our first question comes from Casey Whitman of Piper Sandler. Please go ahead.
Casey Whitman: Hey, good afternoon.
Daniel Schrider: Good afternoon Casey.
Speaker: Hi Casey.
Casey Whitman: Hi. So any updates or just the range of the core margin over the back half of the year from the 3.49% or so range that you had this quarter?
Philip Mantua: Yes I would probably give you that multi core margin is most likely going to compress a bit here as we move through the remaining half of the year probably 3.43%, 3.45% range is where I would put the true core. And we're getting to a point where the fair value piece of things is only a basis point or two difference anyway. So we're going to be pretty close to absent of PPP impacts from quarter to quarter. We will be pretty close to reporting that kind of a core as we move forward anyway. But I would go 3.40% to 3.45%. 
Casey Whitman: Okay and we saw a big jump in the demand deposit and understand deposit this quarter. But we're sort of your bigger picture thoughts of how long those deposits stay with you or how are you thinking about liquidity and back half of the year and how that plays into the margin commentary?
Philip Mantua: Yes Casey, I think that, first of all, as Dan mentioned in his comments that we're still carrying a significant amount of PPP related deposits. And in our internal projections well, first of all, we're 61% or 62% of what we think was the total to begin with today. Our internal projections have always had that, finally bottoming out and maybe 30% to 35% of the original oriented deposits from those originations and so you can see some of that just naturally if our projections and annually come down, could eat into the liquidity position. I mean, we certainly know that we're sitting on a much larger kind of cash and interest bearing balance, predominantly with the Fed here at the end of the quarter than we normally would. I think it's probably about $600 million or 4% of assets, which, in comparison, a lot of other banks, I believe, is still fairly small, relative to the size of our balance sheet. But I think that our first deployment of that over time here through the end of the year would be through additional loan growth that I'm sure we'll talk about here before we're done. As well as we do, we are sitting on about 7% of our total deposits in brokered of which about $300 million of that is brokered CDs. And about $250 million of that is scheduled to mature in the next six months. So we've got some different levers there to look at is that how to absorb that excess liquidity here for the rest of the year.
Casey Whitman: Got it? Do you have any idea how much that $250 million pass off hand?
Philip Mantua: The average about 7 basis points.
Casey Whitman: Okay.
Philip Mantua: That's fairly inexpensive to begin with, but nevertheless, the route is somewhere it ranges up to about 10 basis points for any one of those blocks.
Casey Whitman: Okay. Understood. I'll just turn the conversation quickly before I hop off to see. First, just wondering, can you remind us the expected impact of Durban and on the bank card fees and one that is going to occur for you guys?
Philip Mantua: Yes it doesn’t actually occur for us now until next year this time. And I think our estimation on that is $3.5 million if I'm not mistaken roughly.
Casey Whitman: Okay. All right. Thank you. I will let someone to hop on.
Philip Mantua: Thanks Casey.
Daniel Schrider: Thanks Casey.
Operator: The next question comes from Catherine Mealor of KBW. Please go ahead. 
Catherine Mealor: Thanks. Good afternoon. 
Daniel Schrider: Hi Catherine.
Philip Mantua: Hi Catherine. 
Catherine Mealor: Phil, you teed up the loan growth conversation. So I'll start there and just wanted to get your thoughts on where you think loan growth can improve till in the back half of the year?
Daniel Schrider: Yes. Casey this is Dan. Good afternoon. What we saw in the second quarter and I'm focusing my comments predominantly on the commercial book was as I said in my prepared remarks we were, our production was about $300 million north of where we were in the first quarter and to put numbers on that taken it from about $490 million to over $790 million in production. And our pipeline going into the third quarter should point to a pretty consistent level of production. So all that to say is, we're still feel pretty good about that mid single to a little north of that single digit growth in the commercial book, just based on the contraction we saw in the first quarter. The only other thing that could modify the overall loan growth picture is if court, along the lines of what we do with some of this excess liquidity, we could choose to hold some additional mortgages on balance sheet and that's probably something likely that we would do for the remainder of the year which would, we'd like to see our mortgage balances, kind of get back to where they were, which would allow that commercial growth to make a little bit of a greater impact for us.
Catherine Mealor: Right. And my follow up question is just kind of what you're how you're thinking about the M&A landscape today, we've seen a number of acquisitions smaller in the southeastern space. Just how you're thinking about M&A potential for you all in this environment.
Daniel Schrider: Yes. No, we are certainly thinking about it and as well as building, continuing to build relationships with those that we think might be good matches for us. So we're certainly not on the sidelines. And we'll look at transactions that we think will benefit the franchise and further our strategic goals. I think our, as we probably mentioned before, I mean our kind of circle geographically is probably goes north into southern PA, down through Richmond, West into the Shenandoah Valley, and then all the way to the Atlantic and that's kind of the immediate area that we're focused on building relationships but M&A is going to be a part of what we do as it has been the last few years.
Catherine Mealor: Great. That's all I have got. Very straightforward quarter. Thank you.
Daniel Schrider: Thank you Catherine.
Philip Mantua: Thank you.
Operator: The next question comes from Broderick Preston of Stephens Inc. Please go ahead.
Broderick Preston: Hey, good afternoon, everyone.
Daniel Schrider: Hi Brody.
Philip Mantua: Hey Brody.
Broderick Preston: Hey, I was just hoping to touch on just maybe utilization rates. Dan, you mentioned they remained sort of near historical low levels. Just wanted to get a sense for what that utilization rate percentage is and where that stacks up relative to this time in 2019?
Daniel Schrider: Sure, we are, give you an idea of where we are as I pull out my date here because I don't want to misquote. So on the commercial side, end of 12.31 of ‘20, we were at a 26% utilization rate that dropped to 23% at the end of the first quarter and then just slightly under 23% as of 6.30. And to give you some context normal for us, and that tends to range anywhere from the 35% to 40% range. So that's the big deltas between kind of what's normal and it's drifted down a bit here the last couple quarters.
Broderick Preston: Got it. Okay, thank you for that. And then I did want to ask just on you mentioned some of the investments that you've made on the expense side. And so I guess just you mentioned the Mulesoft partnership. And so I want to just ask about the nature of that partnership. Are they helping you build APIs to allow other fintechs or bass platforms to sort of connect to you or is it like, or is it or is it like Mulesoft the bass provider with its own set of APIs that's allowing you to partner with fintechs? Just kind of helped me sort of understand that partnership.
Philip Mantua: Great question. Mulesoft is actually building what we refer to as the integration layer and then we'll work with us to build the APIs to allow that connectivity to be much more effective than what it is today, but they're actually the integration layer company for us.
Broderick Preston: Okay, got it. And then, I guess just maybe on that is, so is this kind of $63 million or so and core expenses that, the run rate from which we should build off of moving forward or will there be some ebbs and flows there, Phil?
Philip Mantua: Yes, Brody I would say there will be some ebbs and flows. And I think we might have talked about this in the last quarter in terms of just looking down the road and kind of year-over-year growth and expenses taking the current quarter and analyzing it and looking for it to grow 4% to 5% from there, it won't be even this just because some of the spends will be in certain periods and some things will get capitalized and some things won't but then reabsorbed into the run rate. So I would use that as a general view towards the future here in terms of what that number will look like in total expenses. And it probably continue to be growth in those areas we just reported as well related to both personnel costs, as well as consulting professional type fees and things that are all kicked together in support of these varying initiatives.
Broderick Preston: Okay, understood. And then just on the loan portfolio. Could you remind us what percent of the loan portfolio is floating rate? And then what percent of that floating rate portfolio is currently at four levels?
Daniel Schrider: I think the answer to the first part of the question continues to be somewhere between 25% and 30% of the total portfolio. I don't know that I can tell you exactly what percentage is currently residing at the floors. I'd have to I'd have to research that for you to give you the appropriate answer Brody.
Broderick Preston: Okay. Understood. And then just one last one maybe for Dan, just one of the get a sense from you guys as to how you're thinking about permanently repositioning the deposit base here. So last cycle you had an above average deposit beta. And a big chunk of that was due to the time deposits, which you've run down here, similar to other banks, but are you also kind of thinking about shifting away from money market exposure? Or how do you kind of get customers to maybe stay more in transaction oriented accounts as opposed to money markets? Because the money markets can be pretty high beta, as well.
Daniel Schrider: Yes, I think that the money market piece of the business will always be part of what we do given our kind of the demographics of this market particularly in the retail book, but I think the strategic answer to your question is our ability to continue to drive small business and commercial relationships. And that's where we've got a tremendous amount of emphasis today. And we know that that's by far the most valuable piece of what we can create from a deposit book. And the team is doing a solid job of that. But that's where we would be focusing our energy.
Broderick Preston: Great, thank you all for taking my questions. I appreciate it.
Philip Mantua: Thank you Brody.
Operator: [Operator Instructions] And our next question will come from Erik Zwick of Boenning and Scattergood. Please go ahead.
Erik Zwick: Good afternoon, guys. 
Philip Mantua: Hi Eric.
Daniel Schrider: Hi Eric.
Erik Zwick: First, I just want to check and make sure I heard something right from the prepared comments. Did you indicate that you thought that second quarter run rate for the mortgage revenue was kind of a good base to use for the second half of the year?
Daniel Schrider: You did hear that correctly. Yes.
Erik Zwick: Okay. Great. Thank you. And then in terms of the PPP loans with regard to the round one, do you have the dollar figures or the remaining fees on that portfolio? I may have missed that. And I didn't see it on the slide.
Philip Mantua: Eric is Phil, I don't believe that that particular number was on there. But given the term of those loans and how close we are to working through that there's probably only a couple of million dollars left as the fees that are related to round one PPP loans. The majority of the fees that are still yet to be recognized are related to round two. And I think that numbers in our deferred account is around $19 million.
Erik Zwick: Okay, that's helpful. I appreciate it. And then just curious as I was looking on a slide 6 at the waterfall table and kind of curious about the $3.5 million bill to the change in qualitative factors. Could you just provide any color to what changed within those factors. And then I think that Phil may have also said that you've added a new additional qualitative factor to the model and in any color on that as well, if I heard that correctly.
Daniel Schrider: Yes actually, Eric, we had added or adjusted some of those qualitative factors a couple of quarters ago that were related to trying to recognize the additional potential risk in predominantly the segments like the hotel industry or whatever, where we felt there were higher risk levels of things relative to those. So we kind of beefed up those factors around certain industry segments. But we really did add that this quarter. We had added that before. So it might have sounded like we had here. But that wasn't the case. I think that the increase in the actual factors this quarter were due to some other concentration levels that hit us in a couple of places. I think might have been a couple of credits that popped through in the acquisition development construction portfolio if I'm not mistaken that bumped up the basis points that we assigned into that area relative to the size of that portfolio to the overall portfolio into the way we look at it relative to capital. So that was really the genesis of that additional piece this quarter.
Erik Zwick: That's helpful. Thanks Dan. And just last one, for me, kind of tying back with some of the earlier questioning on the loans and what growth may look like in the back half of the year. And I appreciate the call on the pipeline. Just curious if maybe you could add a little bit on the composition of the pipeline between kind of commercial and consumer from that perspective?
Daniel Schrider: Yes, everything I talked about with regard to pipeline being level was all commercially related. The other kind of main consumer loan outside of mortgage that we generate are on the home equity side and as you might imagine given refinance activity that portfolio has been under pressure from a balance standpoint. So the pipeline going into the third quarter is really level with what it was going into the second quarter -- so still good momentum.
Erik Zwick: That's helpful. Thanks for taking my questions this afternoon.
Daniel Schrider: Thanks Eric.
Philip Mantua: Thanks Eric.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Daniel Schrider for any closing remarks.
Daniel Schrider: Great. Thank you. And thanks, everyone, for taking the time to participate this afternoon. We love to get your feedback on these calls. So you can email your comments to ir@sandyspringbank.com. Hope you all have a great afternoon. 
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.